Operator: Good morning. My name is Anis, and I'll be your conference operator today. At this time, I would like to welcome everyone to the Root’s Fourth Quarter and Fiscal Year 2021 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator instructions].  On the call today we have Meghan Roach, Chief Executive Officer; and Mona Kennedy, Chief Financial Officer of Roots. Before the call begins, the company would like to remind listeners that the call, including the Q&A portion, may include forward-looking statements of our current and future plans, expectations and intentions, results, level of activities, performance, goals or achievements, or any other future events or developments. This information is based on management's reasonable assumption and beliefs in light of information currently available to Roots. And listeners are cautioned not to place undue reliance on such information. Each forward-looking statement is subject to risks and uncertainties that could cause actual results to differ materially from those projected. The company refers listeners to its fourth quarter and fiscal 2021 management's discussion and analysis and/or its annual information form dated April 6, 2022, for a summary of the significant assumptions underlying forward-looking statements and certain risks and factors that could affect the company's future performance and ability to deliver on these statements. Roots undertakes no obligation to update or revise any forward-looking statements made on this call. The fourth quarter fiscal year 2021 earnings release, the related financial statements, and the management's discussion analysis are available on SEDAR as well as on the Roots Investor Relations website at, www.investors.roots.com. Finally, please also note that all figures discussed on this conference call are in Canadian dollars, unless otherwise stated. Thank you. Ms. Roach, you may begin your conference.
Meghan Roach: Good morning. And welcome to our earnings call. We had an excellent fourth quarter, which marked the great finish to the year. We delivered growth in revenue, gross margin and adjusted EBITDA and grew adjusted earnings per share by 23% compared to 2020 and 24% on a two year CAGR basis.  I will be walking you through the key highlights of our fourth quarter, and our annual performance before passing the call to Mona. She will dive into our financial results in more detail.  However, before I do, I want to acknowledge the terrible situation in Ukraine. One of our key values that Root is freedom. While we don't have operations in Ukraine or Russia, a winter version of our beloved [indiscernible] is made in Ukraine. And we have colleagues and friends and family in the region. We're making donations to Root Cares to save the children and supporting where we can.  While our stores reopened, and certain government mandates were relaxed, the COVID-19 pandemic continued with this variance causing a surge in cases during the latter part of the fourth quarter. As such, we continue to prioritize the health and safety of our team, the consumers we serve and the communities where we operate locations, maintaining stringent protocols while providing a welcoming, enjoyable customer experience.  Now shifting to our financial results. We had a great year and a great quarter. Our success continue to attribute to our key focuses in 2021. We leveraged our omnichannel platform, we deliver compelling assortment, we focus on increasing full price sales by reducing promotional days, we continued our focus and our operational excellence and we further our efforts and sustainability, diversity, equity, equality and inclusion. We advanced these initiatives while navigating industry wide disruption in the supply chain and resulting from COVID-19.  I would like to thank our talented and dedicated team for their ongoing contribution and steadfast commitment to delivering strong results. They're all offering in a very challenging environment and your efforts in representing the values and authenticity of the Roots brand show in our financial performance.  Turning to our financial performance. Overall, all of our key financial metrics in the fourth quarter, and 2021 as a whole, with sales growing 22% compared to Q4 2020. This is our fourth consecutive quarter of year-over-year sales growth. We saw a very favorable response to new products such as the One Collection, which was a huge step forward for us as a brand with its gender free fit, sustainable materials and extended size range. One is also a great example of the innovation that we're bringing to our core categories. We will continue to see meaningful growth opportunities with this collection, and have several new silhouettes and fabrics coming out this spring.  But outside of the One Collection, we are now also offering more sizes, and many of our iconic [indiscernible], we have moved much of our baby and toddler collections to be gender free.  I'm also pleased with the progress that we're making in introducing more sustainable materials into our clothing. In the fourth quarter, we had more items made with sustainable material than we hadn't any past seasons, and we are committed to increasing the percentage of items made with these preferred fibers going forward. By the end of 2022, we anticipate having most of our apparel made with sustainable material.  The results will continue to benefit from several favorable consumer trends. And we are uniquely positioned to respond to. The demand continues for comfortable and versatile clothing, especially with hybrid work becoming the norm for many people. We have continued to see the benefit of our brand positioning in a market where customers are seeking comfort and quality.  Our more athletic side [ph] offerings the Journey Collection has also continued to benefit from the strength of athletic apparel as a category. I was also particularly pleased to see in the fourth quarter the continued success of our core product category. We are not a fast fashion brand, and a strong performance of our core favorites, as the customers are continuing to respond positively each product. As we noticed throughout 2020 and 2021 the global pandemic accelerated digital platforms in the extended period of store closures in the last two years. And we are well positioned to capitalize on this change, particularly given our unified cloth inventory.  We continue to be focused on serving our customers wherever however and wherever they choose. We also remain focused on further elevating our digital capabilities to create a more seamless, frictionless experience for consumers. The fourth quarter also reflects our continued discipline around promotion and our shift in product strategy. We discussed in previous quarters, how we have painstakingly peeled back promotion after promotion. I’m incredibly proud of the work we've done as a team in this area. It is a pleasure to be able to highlight that commercial days dropped to 23 and 2021 from the high of 213 in 2019.  In Q4 specifically, there are 19 promotional days, down from 26 in Q4 2020 and 66 in Q4 2019. That is discipline led to an increase our DTC gross margin of 150 basis points compared to Q4, 2020 and 610 basis points relative to Q4 2019. Notably, we achieved these margins, despite the continued supply chain challenges in the quarter, particularly with ocean freight, which is historically represented the primary form of transportation for our products.  As Mona we'll discuss later, this team showed great agility and navigating instructions, through these air freight and several strategies to ensure we had robust inventory levels in the fourth quarter. With the strong sales and gross margin expansion, we grew adjusted EBITDA to CAD30.6 million in Q4 compared to CAD26.1 million in both Q4, 2020 and Q4, 2019. On a full year basis, our adjusted EBITDA has increased to CAD50.1 million, 29.4% higher than 2020 and 92.3% higher than 2019.  We delivered on these results through the operational excellence applied across our segments, including the efficiency, flexibility and agility of our omnichannel platform. The focus of our design teams an elevating our core favorite and we launched new products, all while staying true to the brand's authentic heritage and the proficiency of our team in navigating supply chain challenges that we in our industry have continued to face.  Before I shift to our strategic focuses for 2022 and beyond, I want to highlight our ongoing commitment to making meaningful changes in society in line with our core values. We've already discussed our investments with stable materials and in previous quarters, we highlighted the organizations we have joined to move forward sustainability of Root.  Another way, we are bringing our values to life is through Root Cares. For 48 years, Root has been committed to getting back to partnering with communities in need. With a company's values of community integrity, freedom and being genuine in mind, we are now grouping all of our philanthropic efforts under Root Cares. During the year we've donated approximately CAD1 million of cash in kind donations to various organizations to the Roots Cares initiative.  Now shifting to our strategic focuses for fiscal ‘22. We continue to believe we are uniquely positioned in the marketplace with our rich heritage and enduring brand affinity. And now have a strong foundation on which to build profitable growth. We expect to continue to drive strong performance supported by our four main pillars. The first remain, offering an elevated omnichannel experience to our customers. We will continue to enhance and elevate our already robust mobile level experience to our investments in upgrading our online platform and our omnichannel offering.  During 2021, more than 70% of our e-commerce traffic came from mobile devices. And we continue to see offsetting our mobile conversion rates compared to those of our desktop users. Notably, to further augment our capabilities in this area, we had a new Vice President of E-Commerce and Customer Experience, who joined us in late March. He previously held senior roles the Essence, Brown Thomas and Macy’s and brings with a wealth of online experience to the role with a global perspective. I will also be more personally involved in e-commerce brand development and marketing going forward.  The second pillar is reinforcing the Roots brand, the shoe globally. And our recent brand health assessment, we are in an NPS score of 78 from our customers, which speaks to the love and enthusiasm of our customers for the Roots brand. We are proud of our heritage and the innovative paths we've taken over the last 48 years. We are committed to growing and leveraging our core values to bring Roots to the increasing global scale.  At the end of 2021, we shipped to over 55 countries through our e-commerce platform, we had an established presence in Canada and Taiwan. And we see significant growth remaining in both market and over the medium term, our geographic expansion plans include United States and China.  While small, we are pleased with the performance, our Temo [ph] store, which we launched in July 2021. We are seeing a nice build in sale as local consumers find it and embrace our product quality, innovation and brand values. We look forward to building upon our initial success and incorporate key learnings into future delivery.  The third pillar is continuing our progress on CSR initiatives, with a focus in the near term on shifting a large portion of our material to preferred fibers, establishing a baseline for future measurement, our progress on sustainability, and integrating our efforts around diversity, equality, equity and inclusion into our daily operations.  We recently appointed a Senior Director of Sustainability, who previously held roles at [indiscernible] and Patagonia and will help to progress on our sustainability pillar.  Our final pillar and one that has been important to us as we have managed through the pandemic is maintaining operational excellence across the organization. We have a strong balance sheet, which allows the company to invest spend and support future growth, while returning value to shareholders through things like the NCIB program, which we initiated in December 2021.  In summary, our performance in 2021 reflects the culmination of our efforts over the last two years to strengthen Roots fundamentals, and to establish a platform in which should drive future growth. We are continuing to see positive trends in our business at the start of the year. And while disruptions continue in the macro environment, we are confident that our ideal business model enduring brand strength, robust product offerings, and operational discipline have poised as well to advance our key priorities in 2022.  With that, I will turn the call over to Mona. Mona? 
Mona Kennedy : Thanks, Meghan. And good morning, everyone. We're pleased to deliver fourth quarter and fiscal year results with strong top and bottom line performance. We've been showing our ability to delight our consumers with strong assortments even with external challenges that led to inventory delays, and higher freight costs. Overall, our brand and products are resonating with existing and new customers, our operational excellence is boosting results, and our agility and flexibility is helping us navigate external challenges.  As we look to 2022, we're closely monitoring cost inflation and industry wide supply chain disruptions. We plan to continue to be strategic with our pricing, and we'll be taking selective price increases over the course of the year.  Now let's delve into our Q4, 2021 results. You can refer to our earnings release for more information and reconciliations to our IFRS measure. Total sales in the fourth quarter were CAD121.3 million, up 22% from CAD99.4 million last year. DTC sales were CAD110.6 million, up 20.5% from CAD91.8 million last year, despite a significant reduction in promotional days.  We also scaled back on our biggest events of the year, including Black Friday and Cyber Monday. Now we were more selective with discounting during Boxing week. This quarter, we benefited from having our full fleet of stores open and operational in the quarter compared to only 65% of our stores opened last year. But we were still negatively impacted by the Omicron variant to increase capacity constraint, limited staff availability and reduced operating hours in certain locations.  And our partner another segment Q4 2021 sales were CAD10.7 million, up from CAD7.6 million last year. This increase reflects the strength of our Asia business due to higher volumes, and strong growth and sales of custom groups branded products to business clients. I'm very pleased that we achieved sales at 95% of pre pandemic 2019 levels, despite the significant shift in our promotional strategy. But what is even more encouraging is that we saw growth in our total gross profit dollars compared to Q4, 2019. This is reflective of the success of our promotional strategy as the number of promo days were reduced from 66 in Q4, 2019, to 19 in Q4 2021.  We continue to be pleased with our DTC gross margin performance. Our gross margin increased by 150 basis points to 61.3% from 59.8% last year, and up 610 basis points from 55.2% in Q4 2019. This improvement in margin is reflective of our more disciplined promotional stance. We were pleased to see the solid expansion and gross margin in light of the inflationary freight costs and the use of higher costs air freighting to mitigate the delinquency. Higher freight costs put 270 basis points of pressure in the quarter.  Now moving to SG&A. We continue to be very pleased and managing our costs, while also investing strategically for growth. SG&A expenses were CAD45.7 million for Q4 2021compared to CAD39 million last year. This increase partially reflects a CAD3 million reduction in temporary rent abatements and government subsidies since Q4 2020. Excluding these onetime impacts SG&A expenses would have increased by CAD3.7 million, reflecting higher store labor costs of stores were fully reopened and investments in talent and marketing partially offset by a reduction in non-cash impairment charges.  We gained leverage on our SG&A spend compared to 2020 and 2019 because of the more efficient management of costs at our stores, distribution center and e-commerce operations. Higher sales and expansion of gross margin drove adjusted EBITDA to CAD30.6 million, a 17.4% increase over CAD26.1 million last year. The improvement we achieved in EBITDA is even more pronounced if you exclude the impact of temporary rent abatements and government subsidies. Excluding these onetime impacts, adjusted EBITDA would have been CAD30.4 million in Q4, 2021 compared to CAD22.3 million in Q4 2020, an improvements of CAD8.1 million or 36.3%.  Q4, 2021 net income increased to CAD18.1 million or CAD0.43 per share up from CAD12.3 million or CAD0.29 per share last year.  Turning to our balance sheet highlights. We ended Q4 with an inventory balance of CAD41.3 million down 2.7% from CAD42.4 million last year. This improvement is reflective of the sell down of our pack and hold inventory and the success of our strategies to tackle supply chain challenges during the quarter. Additionally, while we're still facing inventory delays, and an unpredictable environment, we believe that the composition of our inventory is healthy as we enter Q1.  We continue to benefit from our capital light model and delivered very strong free cash flow. Over the past two years, we have significantly reduced net debt. Net debt at the end of the year was CAD26.6 million compared to CAD61.9 million at the end of 2020 and CAD95.8 million at the end of 2019.  We also returned capital to shareholders by purchasing shares through our NCIB. As at the end of the year we have repurchased 205,000 shares under the NCIB programs that we initiated in mid-December of 2021.  A few comments on full year results if I turn the call over for questions. We delivered a very solid year of financial performance in which we expanded sales, gross margin and adjusted EBITDA above last year. Additionally, as we compare our results to the pre-pandemic levels in 2019, we have seen gross margin expansion SG&A efficiencies and significant improvement and adjusted EBITDA and free cash flow.  A few highlights when comparing to 2020. Total sales improved to 13.9%, DTC gross margin improved by 150 basis points, adjusted EBITDA improved by 29.4% to CAD50.1 million, EPS improved by 74.2% to CAD0.54.  In summary, we had a strong finish and outstanding year for roots, reflecting both our operational discipline, flexibility and resilience. We faced unexpected external challenges and still drove solid results. We're starting fiscal 2022 with a focused strategy and great confidence. This was supported by our healthy financial position to continue on our positive momentum in the quarters and years ahead.  We look forward to updating you on our first quarter 2022 results in June.  With that, operator, please open the lines of questions.
Operator: Thank you. Ladies and gentlemen, we’ll be now conducting a question-and-answer session. [Operator Instructions] The first question comes from Patricia Baker with Scotiabank. Please go ahead.
Patricia Baker: Yeah, good morning. And congratulations on a great end to the fiscal year. I have several questions, I'll ask one follow up and then all that back in the queue. So in your discussion of your pillars, and where your focus is going to be going forward, when you spoke about reinforcing the Roots brand, and you mentioned both China and the U.S. as a focus. Can you just elaborate a little bit more about what exactly you're going to be doing in those two markets to reinforce the brand? 
Meghan Roach: Hi, Patricia. Yes, absolutely. So I think we've talked about in previous quarters that we really view obviously, Canada and Taiwan our core markets. We have a very established presence in both of regions. We have over the last six months plus and kind of reestablishing our presence outside of Canada.  So in the Chinese market, we we've launched Tmall as we mentioned before, and we're really focused on driving more of a premium brand positioning there. So we're doing things like, customizing products in the marketplace. We are engaging a specific PR agency there, we're reengaging in a social media presence in a more in depth basis. So all things we do to basically relaunch the brand in the right way with a good brand awareness and presence.  Similarly, in the U.S. market, we now have appointed our own U.S. agency. We are looking at new digital expansion on this market. We're doing much more partnerships. So you may have seen that we did a partnership with [indiscernible] for his birthday party in February. We're doing other types of events and influencer partnerships to really build up brand awareness to the marketplace.  So this really is about kind of building up the brand awareness and focusing in the medium term on how can we establish yourself as a presence in these marketplaces and drive growth. And I think, as Mona mentioned in the call, early days in China, but so far, we've been really happy with this as you've seen our Tmall platform. And will continue to expect and we’ll have to see the successes in these markets going forward. 
Patricia Baker: Okay, thank you very much for that. And then one of the other things you mentioned, as a challenge is, staff availability and the shortage of labor. Can just talk about what that situation is right now? Has there been any improvement? And then perhaps, what kind of strategies did you engage in? What did you do to try and mitigate the impact of that challenge? Did you change anything about how you're running the stores or anything? 
Meghan Roach: Yeah, I think in the fourth quarter, we were in lucky position, because there was definitely a high demand for staff. We were able to get the staff who needed in our stores and in our distribution center to be able to meet the increased demand. So we are really happy where we ended out. There's definitely more increased demand for staff in the marketplace. And so we are looking at things like being competitive with their wages. We're really focused on having a great culture of a place to work. And we see customers and also employees again and again, telling us that they love working at Roots, which is obviously something that helps us retain them.  Overall, we've also become a bit more efficient in terms of our labor usage across the facilities. And so, it's been in comparison to previous years, we've been able to attract staff at lower levels than we needed before.  So we feel pretty good about our current situation with staffing perspective, and we were really happy with the staffing and what we had in Q4. But there's definitely a lot of demand in the marketplace for good staff today. 
Patricia Baker: Okay, thank you. I'll get back in the queue.
Operator: Thank you. [Operator Instructions] With that your next question comes from Stephen MacLeod with BMO Capital Markets. Please go ahead. 
Stephen MacLeod : Thank you. Good morning. 
Meghan Roach: Good morning. 
Stephen MacLeod : Good morning. I just wanted to follow up on just sort of the global expansion commentary that you had, Megan. You mentioned the U.S. -- are you referring to the U.S. solely in terms of having an e-commerce presence or is there something more. 
Meghan Roach: Yeah, Steven. I think we've been pretty clear from this quarters. And we think about the U.S. market, we want to take a measured approach. So we really want to focus on building up the brand awareness, they're focusing on digital expansion strategy. And then it goes from digit led pop ups prevention stores, right. So we haven't explicitly given specific direction on how we are going to grow in that marketplace from store expansion, perspective, et cetera. But needless to say, that in the medium term. We are focused on continuing to expand that marketplace. And we're taking a measured approach that focuses on making sure we have the right brand awareness about the right partners, you got the right people focused on it. And it'll be digital led first with the pattern coming afterwards.
Stephen MacLeod : Okay, that's great. And then just wanted to see sort of what you're seeing with respect to inflation -- inflationary pressures. And you mentioned, you're taking some price. So I just wanted to -- I just wanted to get a sense as to how much of the inflationary pressures you're able to cover off of price and whether you've seen things abate at all in terms of your cost pressures?
Meghan Roach: For sure. So like everybody else, we're facing cost pressures going into the year. We believe, we are in a good position. We have a desired brand, and we have an ability to take price increases. And we've shown that over the past two years, as we've eliminated promotions. And we've seen significant improvements in our average unit revenues.  So going into this year, we're expecting to obviously like everybody else, the cost pressures on freight. We're expecting to see cost pressures on labor. And as you know, there was a minimum wage increase in Ontario this year. And we're expecting to see some cost inflation on raw material as well. So -- and the way we're hoping to tackle that is through strategic and selective price increases in 2022. And we're going to try to maintain our margin dollars. We're feeling very good about that. And we expect to continue with our newer promotional cadence, and our products have been quite desirable, and we've been able to sell them at full price. So we're feeling pretty good about that.  [Multiple speakers] I think what's very unique about this brand is we’ve making some new products before the years, right? So we have exceptional quality. And when we're looking at the pricing that we offer today, we do believe that there's a great value, even if you have slight increases in certain prices. So we're really looking at the value, we're offering consumers, the brand strength, the brand presence, and then thinking about how we can obviously offset some of these inflationary measures. But we're trying to make sure that when we're increasing prices, it's also reflective of the value and not just prices for the sake of offsetting costs.
Stephen MacLeod : Okay, that's very helpful. And then maybe just finally, if I could. I was just wondering if you could just highlight any merchandizing new product wins that you saw in the quarter. And anything that you expect to have for this year?
Meghan Roach: Yeah, absolutely. I mean, I have to highlight again the one collection. We really saw a great customer response to One. It was gender free, sustainable, and we had an extended sizing. And the minimum logos combined with all that I think people really resonated with the product. What was great about it, it was attracting new customers, but also existing customers. So we were seeing people new add on to their existing purchasing from Roots. So that for us is a great product offering. I mentioned in the scripts that we're expecting to see that come out and more so let's and more fabric starting in the spring. And so we're going to continue to expand under One collection offering and it continues to be a good seller for us.  The other thing I would mention is, we have this collection right now called the Journey Collection, which if you've gone on our website recently, you seen it in many places, which is a bit more of like an active work type collection. And so, we're seeing greater demand for that also, and customers are really resonating with the comfort of softness, and its ability to wear something that's incredibly versatile. So it's not just about going and working out, you can work outside for a walk lots of different things. So that's continuing to perform well.  And then the third thing and highlight is really our Studio Collection. So we mentioned and the number of quarters ago that we were going to try to test more of these higher price point items. And that's made in Canada, it's Studio Suites that is made in Canada and [indiscernible] another factory. And we're selling these items for upwards of CAD250 now, and they're selling out.  And so we've recently done a number of collaborations with different artists. We did kind of one with Morningstar and indigenous [ph] artists along with [indiscernible]. We did one with Benny Bangz [ph] who is [indiscernible]. We've also done a number of collaborations with different partners over the last six months, like our gift shop over the holidays. And we're really seeing great traction with that item and we'll continue to focus on which is to expands into that category.
Stephen MacLeod : That's great. Thank you so much.
Operator: Thank you. Your next question comes from Brian Morrison with TD Securities. Please go ahead. 
Brian Morrison: Hi, good morning. 
Meghan Roach: Good morning, Brian.
Brian Morrison: Good morning. Just a couple of follow up questions from you Please, Meghan, sorry if I miss, but can you maybe just give an update on the business, how it's performing into Q1? I assume it must be positive considering all the government restrictions you had to endure last year.
Meghan Roach: Yeah, absolutely. Mona actually will tackle this question. 
Mona Kennedy : Good morning, Brian. So Q1, we're pleased that with the start of Q1, things are going really well. As you know, obviously, freight continues to be a challenge. And there's going to be product delays that we've been facing. From an air freight perspective, we don't expect to have much air freighting, coming into Q1.  From a -- as you know, obviously, there won't be any more government subsidies. You won't have any rent abatements. So from the sales recovery perspective, we're feeling good. I think that one thing I should mention is that our tourists and urban locations are recovering, as tourists are coming back into Canada, as people are starting to go back into work and into kind of urban locations. So we're feeling good as we go into Q1. And our inventory is in a great position as well, and that we're comfortable with the composition of it.
Brian Morrison: Excellent. And Mona, maybe I can follow up with -- you’re active with your NCIB but with all your free cash flow and forecast free cash flow. It looks to me like you're going to have a very under levered balance sheet. I'm just wondering if you're thinking of another way to return capital to shareholders, rather than just maxing out your NCIB, could you maybe looking at potentially a dividend as well.
Mona Kennedy : We are always looking at different alternatives and different ways of managing our business. We continue to look at our capital structure with the board and make sure that we invest in the right places. And we will continue to do that. We're not disclosing any further information on future plans for the cash flow. But as you know, there's a lot of uncertainty this year, there's volatility in China, there's volatility of the war -- looming recession.  So with all of that in mind, I think we're being cautious in terms of providing any guidance. But yeah, we're feeling good. Our net debt at CAD26.6 million. Our debt leverage is below one. So we're in a really good position and we're really happy about that.
Brian Morrison: Okay, that's all for me. Thank you.
Operator: Thank you. There are no further questions at this time. Ms. Roach you may proceed.
Meghan Roach: Thank you for joining us for the fourth quarter. We're looking forward to speaking to you in Q1. And we hope you stay safe and healthy.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating. And ask that you please disconnect your lines. Have a great day.